Maximilian Schöberl: Good afternoon ladies and gentlemen. I would like to welcome all of you to our telephone conference for the third quarter results.  Today, we have a slight change to the normal agenda. Nicolas Peter, member of the Board of Management and who is responsible for finance, will provide you with an overview of the BMW Group's business development. He will then be available to answer your questions. Our Chairman, Oliver Zipse, cannot be with us today. He is part of the delegation with German Chancellor, Scholz, on his visit to China. Currently, he is on his way to Berlin. I would first like to say a few words to put this into context. The BMW Group is a global company. Our vehicles are sold in 140 countries. We have production sites in 31 locations, in 15 countries, and maintain a worldwide research and development network. Europe, including our home market, Germany; Asia, including China; and the Americas, including the U.S.; are among our most important markets. In all regions we are a strong, reliable partner with a long-term focus. Today, just like the global economy, our industry is more interconnected than ever. That is why we continue to advocate for cross border collaboration as well as constructive corporation. We believe this is the only way to find answers to the big issues of our time, including first and foremost climate change. On this path major regions such as China, Europe, or the U.S. can and must make a significant contribution through their influence and economic power. Protectionism and market barriers are exactly opposed to these efforts. Ladies and gentlemen, dialogue is key. That is why our CEO appreciates being part of the chancellor's delegation. Ladies and gentlemen, thank you very much. And now let me now hand over to our CFO, Nicolas Peter.
Nicolas Peter: Thanks a lot, Max. Good afternoon, ladies and gentlemen. The BMW Group delivered a solid performance in the third quarter of 2022. In a highly volatile global business environment, we can look back on a successful quarter. Sales totaled just under 588,000 vehicles, on par with the strong prior-year quarter. The EBIT margin in the Automotive Segment came in at 8.9%, which is at the high end of our target range for 2022. The semiconductor shortage and supply chain disruptions have been with us all year – not to mention bottlenecks in vehicle and parts logistics, partly due to pandemic-related lockdowns in China. All of these things have disrupted production. Since we were unable to fully meet demand, we adjusted our volume targets at the half-year mark. For the full year, we are targeting slightly lower sales than in 2021, with solid growth forecasted for the second half of the year. After the third quarter, we are on track to meet our goal. Thanks to our flexible production network, we once again did an excellent job of steering the BMW Group through the difficult supply situation in the third quarter. From purchasing, to supplier management, to sales and marketing, our employees are delivering the highest standard of performance each and every day and doing everything they can to meet customer demand. We are partnering with our suppliers to continuously optimize our processes and make them more effective and more efficient. Flexibility and operational excellence are what make the BMW Group resilient. Our sales are also benefiting from our presence in the three key regions of the world: Europe, the Americas and Asia, as well as from our highly attractive and updated models. This became especially clear in the month of September where sales grew by 6.6% compared to the same month of last year. Our order books remain full, in particular for our highly attractive range of all-electric models. Here, we continue to see dynamic growth. In the first nine months, we delivered more than 128,000 BEVs to customers, an increase of 114.8%, compared to the previous year. Ladies and gentlemen, let’s take a look at the financial key figures for the first nine months. I’ll start at Group level. Third quarter revenues were up 35.3% on the previous year, reaching just under €37.2 billion. Revenues for the first nine months climbed to €103 billion. This significant increase in revenues mainly resulted from the full consolidation of our Chinese joint venture, BBA. Group earnings before tax for the third quarter reached €4.1 billion, which is 20% higher than the already strong result in the same quarter in the prior-year. Pre-tax earnings September year-to-date totaled just under €20.3 billion. This 54% increase over the previous year largely came from the fair market valuation of previously-held equity interests in BBA, which resulted in a one-time effect of around €7.7 billion. The Group EBT margin came in at 11.0% for the third quarter and 19.6% for the first nine months. Our research and development costs in accordance with IFRS totaled just under €4.9 billion for the year to the end of September. This represents a year-on-year increase of 12.6%. The R&D ratio, according to the German Commercial Code, stood at 4.7% at the end of September. Due to the strong increase in revenues, this figure was 0.6 percentage points lower than for the same period of last year. We expect the figure for the full year to be within our target range of 5% to 5.5%. We are constantly working on the future of sustainable individual mobility and the long-term transformation of the BMW Group. To achieve this, we are investing in new models, including our NEUE KLASSE. In the third quarter, we once again pushed forward with electrification of our vehicle fleet and digitalization. For example, Plant Leipzig launched its second line for standard production of battery modules. In this way, the plant is making an important contribution to supplying the growing number of electrified vehicles with battery components. At Plant Dingolfing, we rolled out an innovative digital system for the production of axle supports. This makes us more flexible and ensures optimal use of our production capacity. Capital expenditure for the first nine months of 2022 totaled just under €4.7 billion, €2 billion more than the figure for the previous year. More than 40% of this increase is the result of investments at BBA. In the first nine months, investment was also focused on the ramp-up of e-mobility. We expect to see the usual seasonal increase in investment activity in the fourth quarter. The CapEx ratio for the year to the end of September was 4.5%. For the full year 2022 we expect a CapEx ratio of around 5.5%. Ladies and gentlemen, let’s move on to the individual segments. First, the Automotive Segment. Segment revenues for the third quarter totaled €32.3 billion and were therefore 42.7% higher year-on-year. Revenues for the year-to-date reached a new all-time high of €89 billion. The full consolidation of BBA made a significant contribution to this increase. Other operational business factors also benefited revenues. We are still able to command good prices for our vehicles. In combination with a consistently strong model mix and positive development in pre-owned car markets, we were able to more than offset the impact of the decrease in sales. Currency translation effects also played a part, due to the weak euro. The cost of sales in the Automotive Segment reached €27.3 billion in the third quarter and €75.4 billion for the first nine months. This is 30% higher than for the same period of last year. Here, once again, the full consolidation of BBA into the Group Financial Statements contributed to the operational increase in the year-on-year comparison. Headwinds from the full consolidation had a total impact of €2.7 billion. Of this amount, depreciation from the purchase price allocation accounted for around €1.4 billion, as planned. Around €1.3 billion in intercompany profits from intragroup deliveries were eliminated in the first half-year. In the first nine months, we saw an increase in costs for materials and logistics of almost €2 billion, partly due to the developments in raw material and energy prices. The higher percentage of electrified vehicles also contributed to the increase in costs. The segment’s third-quarter operating result totaled just under €2.9 billion, a 63.6% increase on the same quarter of last year. EBIT for the year to the end of September was only slightly lower than last year, at €7.7 billion. However, the figure for 2021 included the partial release of the provision for the EU antitrust proceedings. EBIT for the current year was also impacted by the effects from the full consolidation of BBA I already mentioned. Overall, we are seeing high earnings quality, which is also reflected in the EBIT margin. The figure for the third quarter was 8.9% and, for the first nine months, it was 8.7%. This keeps us on track for the high end of our target range of 7% to 9% for the full year. Excluding the consolidation effects mentioned above, the EBIT margin would be 10.1% for the third quarter and 11.7% for the first nine months. This underlines the strong operating performance of our core business. The segment's financial result for the year to the end of September totaled around €8.2 billion and was therefore €6.5 billion higher year-on-year. The main driver for this was the revaluation of the previously-held BBA shares, resulting in a one-time effect of €7.7 billion. The at-equity result decreased by just under €1.4 billion, since earnings from the BBA joint venture were only included until 10 February. Free cash flow in the Automotive Segment totaled €9.9 billion at the end of September. It includes an inflow totaling €5 billion from the acquisition of BBA's liquid fund's in the first quarter. In the third quarter, free cash flow stood at €2.1 billion, primarily due to the high operating profit. In the fourth quarter, we will also see increased investments in electromobility. We also expect higher advance tax payments as a result of business development. For the full year, we are therefore still targeting a free cash flow of at least €10 billion. In the Financial Services Segment, just over 1.18 million new contracts were concluded with retail customers in the first nine months of the year. This decrease of 21.9% from the previous year reflects higher interest rates, in general, and the price increases associated with them. At the same time, competition remains intense in the financial services sector. In addition, the tight supply situation over the course of the year led to limited availability of new vehicles. Thanks to our strong product mix and higher transaction prices, we have been able to partially offset the downtick in new contracts with the higher contract volume of financed vehicles. The volume of new business from all financing and leasing contracts with retail customers was therefore only 13.2% lower than for the same period of last year. Segment earnings before tax for the first nine months amounted to nearly €2.7 billion. This represents a decrease of 8.6% compared to the strong prior year. We continue to see high income from the resale of our end-of-lease vehicles, especially in the U.S. and Europe. In contrast to last year, the macroeconomic parameters and overall conditions for consumers have deteriorated. For this reason, we recognized higher provisions for credit risks in the third quarter. Nevertheless, the credit loss ratio currently remains at a historically low level. In the Motorcycles Segment, we sold just over 159,000 units from our attractive product portfolio by the end of September. This means we were once again able to surpass the result for the same period of last year by 1.7%. Segment EBIT for the first nine months was on par with last year, at €322 million. The EBIT margin came in at 13.0%. Ladies and Gentlemen, let's move on now to the outlook for our key performance indicators. Owing to the full consolidation of BBA, we expect Group pre-tax earnings to be significantly higher. The number of Group employees will also increase significantly, due to the integration of BBA staff. In the Automotive Segment, we anticipate a significant year-on-year increase in deliveries in the fourth quarter. We are therefore able to confirm our guidance for the full year, targeting slightly lower sales. The percentage of deliveries from electrified vehicles is also forecast to increase significantly and the number of all-electric vehicles should more than double. We expect the EBIT margin in the Automotive Segment to be within the range of 7% to 9%. The CO2 emissions performance indicator for our new EU vehicle fleet is developing better than originally forecast. Driven by the rapid ramp-up of our all-electric models, we now expect a moderate reduction in CO2 emissions for our EU fleet for the full year rather than a slight reduction. In the Financial Services Segment, we can confirm our target range of 17% to 20% for return on equity. In the Motorcycles Segment, we anticipate a slight increase in deliveries, with an EBIT margin within our target range of 8% to 10%. Our guidance does not currently assume that Russia's interruption of the gas supply will lead to production stoppages in 2022. However, we do expect costs for energy, materials and manufacturing to remain high. The macroeconomic environment remains dominated by high inflation and rising interest rates. This is causing conditions for consumers to deteriorate, which will affect their behavior in the coming months. We therefore continue to expect our higher-than-average order books to normalize, especially in Europe. Our guidance does not take into account any significant tightening of sanctions against Russia or reactive measures by Russia. The possibility of the conflict spreading outside of Ukraine or of significant prolonged lockdowns in response to the pandemic are also not included in our guidance assumptions. Ladies and gentlemen, although our environment remains volatile, the BMW Group is still on course to meet its targets for financial year 2022. We expect to post significant sales growth in the fourth quarter. After increasing levels of production during the third quarter, we plan to reduce inventories, especially in overseas markets. We are also counting on high sales numbers for our all-electric models, given the strong customer demand for e-mobility. A growing number of forecasts for 2023 predict that Germany and parts of Europe will enter into a recession. The U.S. and China are likely to fare slightly better. Despite these signs, the BMW Group's dynamic growth will continue. Thanks to our attractive product range and expertise in the field of electromobility, we are in a strong competitive position. Our globally balanced sales and production strategy allows us to respond quickly and flexibly to different market developments. We are seeing continuing high demand for our products. Our all-electric vehicles are especially popular. The BMW iX and BMW i4 are a hit with our customers. Orders are particularly strong for both these models. The long-wheelbase version of our 3 Series, the BMW i3, has been produced in China since the middle of the year and is being extremely well received in the Chinese market. The BMW iX1 and the BMW i7 will also be in showrooms before the end of the year. With the iX1, we are offering one of our high-volume models as a pure electric vehicle. This will provide the next impetus for our accelerated ramp-up of electromobility. The all-electric i7 demonstrates the BMW Group's capacity for innovation like no other vehicle. It sets new standards for digitalization and the electrified driving experience. Further momentum will come next year from the continued renewal of our product range. The introduction of the BMW i5 is another important step towards electrification of our full model line-up. Ladies and gentlemen, the BMW Group remains focused on the long-term. We are setting the course today for the successful future of our Company. Our high profitability gives us the room to invest in a targeted and continuous manner in the long-term transformation of the BMW Group. In September, we presented the sixth generation of our BMW battery cells. The newly-developed BMW round cell is optimized for the future vehicle architecture of our NEUE KLASSE. It represents an enormous technological leap: an increase of 20% in energy density, a 30% increase in range and a 30% increase in charging speed. The cost for the high-voltage battery will be reduced by up to 50%. Our partners will be investing in a total of six factories to produce the BMW round cell. In keeping with our local-for-local strategy, the sites will be spread across the key regions of Europe, China and the Americas. The next highlight on our road to the NEUE KLASSE will follow in January 2023. At the CES in Las Vegas, we will be unveiling Vision Vehicle that will underpin our digital expertise. The future of the BMW Group is electric, circular and digital. We are steering the BMW Group prudently through current market volatilities, while keeping our sights set firmly on the future. We are in an excellent position to shape the transformation and achieve our long-term strategic objectives. Thank you.
Maximilian Schöberl: Thank you very much Nicolas. And now ladies and gentlemen, the line will shortly be open for questions. Please wait for some technical advice.
Operator: Thank you. [Operator Instructions] And our first question comes from the line after Dorothee Cresswell from Exane. Please go ahead. Your line is now open.
Dorothee Cresswell: Yes. Hello everyone and thank you for taking my question. I have two if I may, and the first is around mix. Could you just talk a little bit more about how you think that the product mix will evolve in 2023? So on the one hand we know that consumers are feeling the pressure from rising rates and rising inflation, so they're going to perhaps trade down on smaller or less well equipped vehicles. On the other hand you've reminded us of your very supportive product momentum in next year. I think you mentioned the X1, the 7, the 5, and I guess the XM is also worth flagging. So if we take those two factors together, how substantial do you think is the mixed deterioration you might need to be next year? And also maybe you're already seeing a change when it comes to the model mix in your ordering take? My second question is around BEV production in North America. It seems that competitors, you're coming to the U.S. quite late with BEV production plans. So I wondered would you also consider making BEV at the facility in Mexico as a near attempt solution for delivery into the U.S. or are there factors that would prevent that from happening? Thank you.
Maximilian Schöberl: Thank you very much, Dorothee. So we start with the question to the mix – to the product mix next year? Yes, Nicolas.
Nicolas Peter: Dorothee, taking the first – your first question we are very confident regarding the product mix for a couple of reasons. First, we have – before talking about new models; we have a full year availability of X5 production in China, which means we have on top the X5 produced in Spartanburg which will help us to improve our share in this very, very important and highly profitable segment. In the same direction as we renew the updated X7 will of course help us because it's an car as you can imagine was a very high margin. Will help us also to generate additional volume in 2023. The mix will further improve. Why? Because we are – if you look in particular Q3 and Q4 we are in phase-out of the 7 Series. The 7 Series will kick in the first market from beginning of 2023 onwards. So this will help us to improve further on the mix. And then we have on top the 5 Series a little bit later in the year. So regarding mix we are confident. Your second question is related to the BEV production. Maybe first it's important to remind we are investing more than USD1.7 billion to build fully electric vehicles in our U.S. plant in Spartanburg. And yes, seven, eight years from now we will have introduced a total of six fully electrified vehicles in Spartanburg, which I believe fits. If you look at the development of the U.S. market, which is trending – still tending towards SUV type of cars fits perfectly to our local-for-local approach. So having this test to do the way we are taking our decisions of course has also to do with the renewal of our product portfolio. And this is why we believe it makes a lot of sense to move on as we have outlined two weeks ago. Furthermore, we are localizing our supply chain in particular with regard to battery cell supply by, as we've announced with – together with Envision and Envision will build a completely new better cell factory in South Carolina with capacity up to 30 gigawatt hour per year. And those combined puts us I believe in a very, very strong position. And if you look at our year-to-date sales of all electric cars, I don't think we are running behind our competitors, in conferee we are ahead.
Maximilian Schöberl: Thank you very much, Dorothee. Next question, please.
Operator: Our next question comes from the line of George Galliers from Goldman Sachs. Please go ahead. Your line is now open.
George Galliers: Thank you. And thank you for taking my question. The first question I had was just on the underlying auto margin excluding BBA, obviously a strong performance and double-digits. But this has been coming down over the course of the year, having been at 13% in Q1 and 12% in Q2. So I was wondering if you could articulate what have been the primary headwinds as we think about that margin sequentially over the course of the year. And perhaps related to that has the increased penetration of battery electric vehicles played a role here? As you mentioned, your BEV penetration rate is amongst the highest of the traditional car players in the industry. And I think when we look at the NEUE KLASSE and its 50% reduction in cell costs that looks to be higher than what the industry at large is expecting over the coming years. So is that indicative of BMW having a major cost advantage on the cell in two to three years time? Or the fact that perhaps your sell cost today is not the most competitive in the industry? Thank you.
Maximilian Schöberl: Thank you very much, George. Nicolas?
Nicolas Peter: Yes. First of all I definitely agree with your comment, George that our underlying auto margin excluding BBA is definitely strong and is above our strategic corridor of 8% to 10%. Now if you look at the development in the course of 2022 it has a couple of reasons which have to be taken into account in particular in the third quarter we had an high impact from what I would call cost inflation, cost of logistics. We have increased our R&D expenditure due to our very, very strong plans, which I've outlined regarding new model NEUE KLASSE. And furthermore, you're absolutely right the higher share of EVs hasn’t, despite the fact that we have a strong contribution on those cars higher than we've expected, but still lower than comparable ICE cars. So if you look at the mixed development you see on one hand side, overall the positive impact from mixed development coming in particular what I've already outlined, the X5 China allocation, which is helping both China to sell more X5, but also on the other markets because we continue to produce as previously in Spartanburg. So that's overall a very positive impact, but part of this positive impact was in a negative way offset by the ramp-up which is overall very, very good and important of all-electric of all-electric cars. If you look at our cost position moving forward, we expect indeed and further major step with on one hand side NEUE KLASSE, but also the sixth generation of battery cell technology. While – and I would really like to analyze this once again, while we are in a positive way surprised by the strong profitability of EVs today already in our portfolio. So that's the combination, but definitely NEUE KLASSE we will make an additional step moving forward. And as I said, with the sixth generation we expect from cost perspective and depending on the model and the size of the battery in the model up to 50%.
George Galliers: Thank you. Thank you very much.
Maximilian Schöberl: Thank you very much, George. Next question, please.
Operator: Thank you. Our next question comes from the line of Tom Narayan from RBC. Please go ahead, your line is open.
Tom Narayan: Hi, yes, Tom Narayan, RBC. Thanks for taking the questions. Hi, Nicola. Just a quick question on the margin guidance that you guys have, just, it would seem that the implication is Q4, if we take, let's say the midpoint of that range is seemingly a pretty decent step down, just wondering if you're really thinking about the upper end of that quarter and wondering if this may be caused by some of the raw material cost inflation and specifically to suppliers that you called out last quarter? So that's a first question. The next one is a follow-up to what to what George is talking about on the BEV margins. Obviously we've seen a lot of cost inflation with lithium, is that really the cause for why the BEV margins are below ICE margins? Or is this something you're always kind of expecting and how the BEV margins were going to play out? Thanks.
Maximilian Schöberl: Thank you very much, Tom. Nicolas?
Nicolas Peter: Tom, first of all maybe first regarding Q4, as I've outlined we are guiding for the full year and EBIT margin in the upper part of the corridor, which would indicate we are staying at 8.7. Year-to-date we are not nervous at all about the quality of our business in the fourth quarter. So on one hand side what we expect is ongoing positive impacts from volume development in Q4 pricing should be continue to be strong. And as I said, we will continue to see an impact – negative impact in logistics and material costs as I've outlined in my speech. Now, if we look at the – in more, maybe a little bit more in general cost of material and also including specific focus on lithium, Number 1 as I said, we have almost €2 billion cost increment from higher component and logistic prices in the first – in the first nine months on top higher raw material costs in the magnitude of €0.5 billion. If we look at lithium, it's – I believe worthwhile to mention, we are directly sourcing the critical raw materials such as cobalt and lithium. And we have to some degree fixed sort of fixed prices with long-term contracts and the remaining procurement, this is why you don't see this significant increase in our results which is – which could be imagined by the higher lithium price in current – in the current market environment. In order to and as we're elaborating on this one, in order to increase the, what I would call also the planning stability we are in detail investigating opportunities to use in the future financial instruments in particular for the purpose of lithium prize hedging. And you probably are aware that we were the first OEM to start hedging cobalt back in 2020. So we are confident that we might find a way to hedge lithium as well in – in the financial market using financial instruments. And of course, apart from pricing the one of our major focus area is also the processing the refining of the capacity for lithium and here we are working very proactively through the whole value chain to find the right sources of supply.
Maximilian Schöberl: Good. Thank you very much. Thank you very much, Tom, for your question. And the next one please.
Operator: Thank you. Our next question comes from the line of Patrick Hummel from UBS. Please go ahead. Your line is now open.
Patrick Hummel: Yes. Good afternoon, everybody. Thank you. Nicolas, two questions. My first one is really on the top line outlook. If I get you right, you said you expect BMW's dynamic growth as you called it to continue next year, at the same time you're expecting the order backlog to sort of normalize especially in Europe. So can you just give a little bit more granularity on the order intake trend you've seen in the last few months? And whether the backlog versus end of second quarter has shrunk or has remained stable? And if you allow – do you see that volume growth that you forecast for 2023 presumably happening without touching anything on the discount and incentive side? And my second question is related to the China performance, it looks like China's no longer a big margin booster to the group. And we see that the market is getting more competitive especially over the past couple of months. So I'm wondering if you can share your latest thoughts about pricing and growth and also profitability of your China business going into next year. Thank you.
Maximilian Schöberl: Thank you very much, Patrick. Nicolas?
Nicolas Peter: Patrick thanks a lot for your question. I'll start with China. Definitely China continues to be a highly profitable market for our company, for the BMW Group. Despite the fact that this was mainly caused by the COVID situation and volatility in the market. We continue to see if we look at particularly at the discount levels in China, there are hardly any discounts in the Chinese market. In particular for the X5 long version produced in China, the incoming orders are not strong, they're very strong. So I would forecast in the supply in particular with to U.S. and China in [indiscernible] is that we will see an ongoing strong development of our business in China from a financial perspective. This is of course not excluding and give up; of course we are fully aware that for example, for the time being we have lockdowns in many cities. And of course, if you have a lockdown but this is a period where you hardly can retail cast to customer. But this is from our perspective a period which we will manage in as we did in the last nine months in a very good – in a very good manner and we stay confident for 2023. Now if we look, and this is leading to your first – to your first question, if we look at the development in the two other major geographical areas, U.S. and Europe let me start with the U.S. environment based on one hand side, it's ongoing very, very low inventory levels. You might have seen the latest auto data numbers we have together with one other company, definitely the lowest discounts as we speak in the U.S. market. So, low inventory level, low discounts despite inflation ongoing strong demand. Additional capacity from Spartanburg with the X5 and X7 later in the year, you will have the XM which of course is also very highly profitable product, so U.S. we are definitely confident. In Europe we see and this is why we referred to it in a little bit more detailed way. In my speech we see a mixed picture. On one hand side markets like Italy, France to some extent Spain seemed to be more resilient, in Germany and UK we have definitely, despite the fact that we have a strong order book but we have seen incoming orders in the whole industry including us moving in the last couple of months because we've already referred to this development back in early August. So and this is why I would be rather neutral on the development in Europe in the coming months within probably slight different market-by-market, which has maybe to do also with inflation being a little bit higher in Germany and the UK compared to some other markets.
Patrick Hummel: And growth possible in 2023 without touching discounts?
Nicolas Peter: Yes. And of course, that's the strategy moving forward. And this is why we have a strong focus on the supply and demand management on dealer inventories, not only in the U.S. but all around the world. So that's definitely an absolute focus. We have when we look, as you can imagine, really week-by-week at the development of our business, which is top priority.
Patrick Hummel: Many thanks. 
Maximilian Schöberl: Good. Thank you very much, Patrick Hummel. Next question, please.
Operator: Thank you. Our next question comes from the line of Jose Asumendi from JPMorgan. Please go ahead. Your line is now open.
Jose Asumendi: Thank you so much. It's Jose from JPMorgan [indiscernible]. A couple of questions please. I would love to understand a bit better the provisioning in financial services. I know you always take a very cautious approach this metric. I would like to understand a bit better the rationale behind that. And if this is sort of the new run rate for the coming quarters. And the second question, I get a lot of questions on the dividend, I just wanted to confirm that that we are discussing a dividend payout ratio based on reported earnings, which obviously this year are very strong and also exceptional with Chinese business consolidation. Thank you.
Maximilian Schöberl: Thank you very much, Jose. Nicolas?
Nicolas Peter: Well first, if we look at the financial services business on one hand side, as I've mentioned, we have seen in line with sales, we have seen new business going down in the course of 2022. But despite this we have very high profitability level because you know our strategic target of 14% return on equity, and we are now forecasting 17% to 20% on return on equity. This has to do on one hand side with the on ongoing quality of our business with the fact that also if we look at the sale of off-lease vehicles, we continue to see and strong pricing in all major leasing markets. And finally, if we look at credit risks as I said, on one hand side we don't see any signals at this point in time that our credit risk would increase. On the other hand side, taking into account what we see in terms of inflation arising interest in many markets, we believe it's rising to be a little bit more on the careful side. And this is why we've increased provisions in the area of credit. Do we see already those signals? If we look month-after-month, no, we don't see those signals. It has more to do with macroeconomic factors. And to give you maybe just an idea on the impact of residual values, you can calculate with, depending on the car with between €1000 and €1,500 more profit from resell of lease vehicles compared to pre-COVID years. And of course, it's a little bit too early to now discuss detail for dividend payout. But do we see any reason at this point in time to change our overall long-term strategy? No, we don't see.
Maximilian Schöberl: Okay. Good. Thank you very much. Go to the next question, please.
Operator: Thank you. Our next question comes from the line of Stephen Reitman from Société Générale. Please go ahead your line is open.
Stephen Reitman: Thank you very much. Good afternoon. Again, I'd like to get a bit more clarification again on this movement in the margin. And obviously as it relates to the China. Obviously you publish very timely the impact of the China consolidation. And I guess, and so the underlying profit has gone from 12% in Q2 to 10.1% in Q3. As we know – as you've told us the inventory adjustments all done in the first half of the year. So this is now just the PPA adjustments, which you can be going ongoing for some period of time. So it doesn't look like there hasn't been the sort of uplift in profitability one might have expected from China in these figures. As you've said, you had a very successful local production, now BX5 in China, and it's making meaningful numbers, 9,000, 10,000 units a month or so as well. Is there some sort of impact holding this to be profit backed, which should be more evident in the coming quarters?
Nicolas Peter: Steve…
Maximilian Schöberl: Nicolas, please, please.
Nicolas Peter: Again, if we look at our China business, we have on one hand side similar to as we've outlined for the second quarter, we have volatility in the total market number due to the COVID situation. On the other hand side we have seen that as soon as COVID restrictions are discontinued in various cities, we have seen the business going up and kicking in again. So this is why we are confident that we will see also positive development in 2023 also based on our strong product portfolio. Of course, you will see as we have started to produce the X5 long version in China in May this year, you will see the full year impact. That's an important element only in 2023 when we have full year availability of X5. And as we've said, I think, in one of our last calls, of course, if you look in the long run, the China consolidation should have a positive impact on our EBIT in the magnitude of approximately minimum 1%.
Maximilian Schöberl: Okay, Stephen, thank you very much. Next question, please.
Operator: Thank you. Our next question comes from the line of Philippe Houchois from Jeffries. Please go ahead. Your line is now open.
Philippe Houchois: Yes, thank you, and good afternoon. My question is going back to financial services though, because when I look at the numbers, you're losing quite a little of share in that business. I think Euro goes about 51%, penetration now it’s 42%. And I'm just wondering if two things though, is it you competitive situation where you're losing share to better competitors in China or in the U.S. or if it's kind of a change of strategy and risking this business. And we all remember that the year was more effective than most in 2010 with the write down and the rebasing of the [indiscernible] activities. So I'd like to hear from if it's competitive loss of share or a strategy on your end please?
Maximilian Schöberl: Philippe, I believe very, very good question. It has to do with the fact that we believe the quality also, if we look at financial services, quality of our business has a top priority. Yes, you're absolutely right, we have seen a slight decline in penetration rate, but we believe it's more important to put the quality of the margin at financial services in particular in a situation where we are anyhow, in short supply, in particular in the two markets you have referred to U.S. and China. So that's from our perspective. I would not call it a change in strategy because strategy means something which is very, very long term. But this is definitely – the profitability of financial services has a high priority. And on top of course, it's reducing. There is no need to try to accelerate at any price this penetration in a market environment where we have – where we are in short supply.
Philippe Houchois: Thank you. 
Maximilian Schöberl:  Okay. 
Philippe Houchois: Can I maybe if I can squeeze another one. I'm sorry to go back to this, but there is still this sequential decline in the margin took me, and I'm sure others by surprise. I hear what you say about China. It feels like there is a shortfall somewhere. Either there is a region there is a shortfall or there is a product, there is a problem or something like this. And I wonder if you can shed a bit more light on this and reassure us in a way that this maybe a one-off and not something that will – because there is a clear disappointment in the fact that China is not bringing the uplift in the adjusted margin as many of us expected.
Maximilian Schöberl: As you know, there is no region or model, which is – no definitely not. As I said, we've seen higher logistic costs, we've seen higher material costs, we have seen an acceleration, as I've outlined earlier in our EV sales, which I believe and we benefit, if you look at our CO2 guidance, we benefit from this development. And this is definitely a development which we will see the EV development to continue with models like the iX1, I7, the I5, we are launching right now. So, there is no specific region or multi country, in contrary, I would say if you look at the distribution across the various regions, probably BMW is one of the best balanced OEMs in the industry. And if you look at the development of our model portfolio, we have seen an improvement, as I've said, in mix which is, of course, supporting this the overall strong profitability.
Maximilian Schöberl: Okay. Thank you very much, Philippe. The time is running. I think we have time for two more questions. Yes, next question, please.
Operator: Our next question comes in the line of Daniel Roska from Bernstein Research. Please go ahead. Your line is open.
Daniel Roska: Good afternoon, everybody. Maybe then I'll limit myself to one. Could I ask about your local-for-local approach? It seems to be an increasing focus for you and others and right, it should lead to reduced interdependency between the regions. Would you be prepared to showcase regional profitability at some point? And anticipating your answer in your mind, what is the kind of – what's the pro and con for you to talk about regional margins as you go to a more regionalized production approach?
Nicolas Peter: Daniel, well, maybe I'm now 31 years in the country, and one of the first major decisions this company took after a couple of months after I've joined was the investment in a plant in the U.S. So this strategy, local-for-local is not something the BMW Group developed in the last couple of months. That's definitely something, a strategy we have always had in our mind also from an FX management perspective in order to neutralize FX impact in our cash flow. So the result is that you have today a very, very balanced company with a strong footprint of course in Europe, the biggest plant in the U.S. and a strong – yes, strong presence in Asia, but in particular, in China where more than 80% of what we sell in China is produced in China. From our perspective, it doesn't make any sense to produce, to develop regional margin or profitability aspects. Why? Because we still have that's of course extremely high relevance, most of the research and development is done in Munich here next to next to our headquarters. But of course, you can if you look at the mixed development region by region, you can have sort of idea which are the most profitable regions. And in this context, I have to say we are extremely pleased to see the development which the U.S. have taken in the last couple of years that U.S. really became one of our very, very – those markets with very high profitability. Thanks also to the mix. And the fact that we have been able to significantly reduce the discount levels in the last 18 to 24 months.
Maximilian Schöberl: Good. Thank you very much, Daniel. And now the last question, please.
Operator: Thank you. Our last question comes from the line of Henning Cosman from Barclays. Please go ahead. Your line is now open.
Henning Cosman: Yes, thank you for taking my question. I just wanted to come back to normalization of the order book, please. So, I'm still not sure I fully understand what you want us to think about that. Is it almost good that the order book normalizes from an extraordinary high level, and that can still imply growth in unit terms in Europe next year? Or are you trying to suggest that you may not see growth in Europe or below market growth in Europe? That's the first question. And then secondly, again, on the financial services business, I was just wondering if you were prepared to quantify how much in the million terms credit provisions you took in the quarter, and when you say you feel adequately provisioned for residual value risks, if you were prepared to quantify what that could mean in terms of how much of a residual value change you could stomach from the provision, for example. Do you envisage residual values to adjust by 5%, for example, year-on-year and that's what you feel adequately provisioned for? Thank you very much.
Nicolas Peter: Henning maybe let's start with your second question. So additional provision in the low three digit million Euro amounts on top for credit risk. But I would, again, like to underline, we don't see the credit risk rising at this point in time. It's still on historically very low level. Normalization of the order book. And that's in particular, and as I said, an European topic, we had from a customer perspective, from a consumer perspective, very, very long lead times, which probably are a little bit too long, if you look from customer satisfaction level. And this is why I would say, and slight reduction is definitely not negative. It will increase and will support customer satisfaction. Having said this the strong order book is something which will support our business development minimum in the first two quarters of 2023. And what is extremely pleasant to see, because this is an car which is globally very important, but in particular for Europe, has a high relevance that the X1 including the iX1 we've audit our order books a couple of weeks ago and demand is really, really strong.
Henning Cosman: Thank you.
Maximilian Schöberl: Good. Excellent. Thank you very much, Henning. And before I close our today's session, we have one update regarding our Investor Relation team. Nicolas?
Nicolas Peter: Well, thank thanks Max. Yes going forward, Adam Sykes he was previously Head of Governmental Affairs and Corporate Communications for North America will take over the role of Head of Investor Relations. Veronika will be assuming another very important management position within the BMW Group's Finance Division, responsible for payment transactions, and the whole global travel management. Those of you based in the U.S. will probably already know Adam. Adam has been with a Group since 2004 working in the UK, in Germany, in the U.S., broad experience in corporate strategy, brand strategy and communication. But foremost, I would really like to thank Veronica for the tremendous job in leading our Investor Relation team over the last few years. Extremely well done. And I wish you a great start into your new role. You will all get a chance to meet Adam during our upcoming road shows and different meetings we have scheduled. And once again thanks a lot for joining today's conference. 
Maximilian Schöberl: And from my side also all the best to Adam. And thank you very much to Veronika. And now we all clap together our hands. Thank you very much, Veronika.